Operator: Hello, and welcome to Ouster’s Fourth Quarter 2024 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After today’s presentation and remarks, there will be an opportunity to ask questions. [Operator Instructions] The call today is being recorded, and a replay of the call will be available on the Ouster Investor Relations website an hour after the completion of this call. I’d now like to turn the conference over to Jim Fanucchi, Investor Relations. Please go ahead.
Jim Fanucchi: Good afternoon, everyone. Thank you for joining us for our fourth quarter 2024 earnings call. I am joined today by Ouster’s Chief Executive Officer, Angus Pacala; and Interim Chief Financial Officer, Chen Geng. Before we begin the prepared remarks, we would like to remind you that earlier today, Ouster issued a press release announcing its fourth quarter 2024 results. An investor presentation was published and is available on the Investor Relations section of Ouster's website. Today's earnings call and press release reflect management's views as of today only and will include statements related to our competitive position, anticipated industry trends, our business and strategic priorities, our financial outlook and our revenue guidance for the first quarter of 2025, all of which constitute forward-looking statements under the federal securities laws. Actual results may differ materially from those contained in or implied by these forward-looking statements due to risks and uncertainties associated with our business. For a discussion of the material risks and other important factors that could impact our actual results, please refer to the company's SEC filings and today's press release, both of which can be found on our Investor Relations website. Any forward-looking statements that we make on this call are based on assumptions as of today, and other than as may be required by law, we undertake no obligation to update these statements as a result of new information or future events. Information discussed on this call concerning Ouster's industry, competitive position in the markets in which it operates is based on information from independent industry and research organizations other third-party sources and management's estimates. These estimates are derived from publicly available information released by independent industry analysts and other third-party sources as well as data from Ouster's internal research. These estimates are based on reasonable assumptions and computations made upon reviewing such data at Ouster's experience in and knowledge of such industry end markets. By definition, assumptions are subject to uncertainty and risks, which could cause results to differ materially from those expressed in the estimates. During this call, we will discuss certain non-GAAP financial measures. These non-GAAP financial measures should be considered as a supplement to and not a substitute for measures prepared in accordance with GAAP. For a reconciliation of non-GAAP financial measures discussed during this call to the most directly comparable GAAP measures, please refer to today's press release. I would now like to turn the call over to Angus.
Angus Pacala: Hello, everyone, and thank you for joining us today. I'll start with a brief recap of the quarter and review of our execution against our 2024 strategic priorities. Chen Gang, our Interim CFO will cover our financial results in more detail before I close with our 2025 objectives and some final thoughts. The fourth quarter capped-off a year of consistent execution, record financial results and delivering increased value for our customers. For the quarter, we generated $30 million in revenue and gross margins of 44%, reinforcing our position as a leader in the lidar industry. This is the eighth straight quarter, we have met or exceeded our guidance. We continue to have one of the strongest balance sheets in the industry, ending the year with $175 million of cash and equivalents with zero debt. We also won a $2 million contract to deploy our Blue City traffic management solution in Chattanooga, Tennessee to improve roadway safety and reduce congestion. Chattanooga is expanding Blue City to over 120 intersections, covering the downtown area and will be the largest deployment of lidar detection technology for traffic and pedestrian safety in the United States. We have launched Blue City across the United States from Tennessee to Washington, tapping into the massive opportunity presented by the Intelligent Transportation Systems, or ITS, market. There are 300,000 signalized intersections in the United States and we see a similarly sized opportunity in both Europe and Asia. With each intersection supporting two or more lidar sensors, we estimate this market can drive demand for over 1 million units. Ouster is also working closely with several of the world's largest heavy equipment manufacturers such as John Deere to support their automation efforts in agriculture and conduction. These companies manufacture millions of machines every year, and our customers face a significant challenge to fill positions that are often strenuous and dangerous. The automation technology powered by our lidar solutions helps make the global supply chain safer, their operations more efficient and alleviate chronic labor constraints. These highlights wrapped the year in which our OS sensor volumes increased by over 50%. Our software attached bookings grew by over 60%, and we deployed sensors at iconic events like the Paris Olympics. We also reached major milestones in our next-generation custom silicon chips and developed new software tools to accelerate lidar adoption. We also successfully executed against each of our 2024 business priorities, which were: one, expand software solutions, and grow the installed base; two, advance the development of digital lidar hardware; and three, progress on our long-term financial framework. Starting with software. We saw impressive growth in our software attached bookings in 2024, which increased by over 60% versus 2023 and exceeded a double-digit percentage of our total bookings in each quarter of 2024. We define software attached bookings as a sale of either our Ouster Gemini perception platform or our Blue City traffic management solution, along with sensors and associated accessories and services. Our software solutions currently serve the smart infrastructure vertical, which we see as a $19 billion market opportunity spread across ITS, security, logistics and crowd analytics. Our 2024 bookings for Ouster Gemini and Blue City are expected to expand our cumulative deployments to more than 700 sites. Blue City successfully passed the requirements of NEMA TS2 and we integrated Ouster Gemini and Genetec Security Center. We also expanded our distribution network bringing on traffic technology partners covering nearly 20 states across the country to sell Blue City to states and local governments, which should fast-track the adoption of our intelligent traffic control solution. I'm also excited to announce that shortly after the end of the fourth quarter, a leading global technology company renewed its Ouster Gemini annual license for over $1 million per year. This amazing milestone represents our largest software deal ever, and we have just scratched the surface of this potential opportunity as we increase our penetration with new and existing customers across the globe. Moving to lidar development. In 2024, we made significant advancements on our digital lidar road map. On the firmware side, we introduced Firmware 3.1 with zero minimum range along with improvements to accuracy and better obscurance penetration. We also spent much of the year developing Firmware 3.2, which we announced earlier this week and brings a powerful new set of features to our customers. We are also accelerating lidar adoption with two developer tools Ouster SDK and Ouster Studio. Over the past 12 months, we have released four new versions of our SDK that include real-time localization, multi-sensor support and up to 4x faster data visualization. We also added new features to Ouster Studio, our lidar visualization tool. The new Ouster Studio Web offers customers 250 gigabytes of free lidar data storage making it easy to store, access, organize and collaborate across an organization. No other lidar company provides such a robust software development ecosystem. Since launching in late 2022, Rev7 quickly became our best-selling sensor as customers recognize its superior performance and enhanced reliability. Throughout 2024, we worked to upgrade select components in REV7 to improve reliability and thermal performance even further. We also tapped out both our next-generation L4 and Chronos custom silicon. Our L4 sensor prototypes are generating rich point clouds and have moved into validation testing. Our Cronos chip is back from the fab and is undergoing bring up. Finally, we delivered results in line with our long-term framework. We achieved revenue of $111 million, up 33% year-over-year and aligned with our 30% to 50% growth target. Our full year margin of 36% sits squarely within our target range of 35% to 40%. Operating expenses reflect our continued focus on maintaining our cost structure and our average quarterly OpEx in 2024 was 7% below third quarter 2023 levels. In summary, I'm pleased with our accomplishments in 2024. In 2025, Ouster, like other businesses will be navigating the volatility and uncertainty in the current climate. We are encouraged by the opportunities to empower global industries with high performance, reliable and accessible 3D sensing solutions. I'll now turn the call over to Chen, who will provide more context on our fourth quarter financial results.
Chen Geng: Thank you, Angus, and good afternoon, everyone. In the fourth quarter, we shipped approximately 4,800 sensors and recognized $30 million in revenue. This represents our eighth straight quarter of revenue growth. We saw strong sequential unit growth of 23% as we saw large volume purchases from automotive and robotics customers. These two verticals were also the largest contributors to fourth quarter revenues with industrial closely behind. We are helping these customers solve challenges in a range of applications such as robotaxi, last mile delivery, mapping and construction. This is a testament to the diversity of our business. Fourth quarter gross margin improved to 44% on both a GAAP and non-GAAP basis. Gross margin strength reflected record sensor volumes along with lower costs related to legacy inventory. Absent this benefit, underlying gross margin performance was within our long-term framework target of 35% to 40%. This range remains an appropriate annual gross margin target for the business, and there may be quarterly variability in our margins due to customer shipment schedules, product mix and other factors. GAAP operating expenses of $39 million in the fourth quarter were down 9% over the prior year and up 1% sequentially. The sequential increase was primarily driven by higher litigation expenses of $6 million offset by lower stock-based compensation. We expect operating expenses to fluctuate on a quarterly basis, largely due to the timing of R&D project spending and litigation costs. Turning to full year results. For 2024, we shipped over 17,000 sensors and reported revenues of $111 million, an increase of 33% year-over-year. Bookings were $115 million and represented a book-to-bill ratio over 1. We are encouraged to see more customers moving into production, but this can come with a quarterly order cadence rather than large orders that cover a full year outlook. Overall, we are maintaining our long-term framework of 30% to 50% annual revenue growth. GAAP gross margin was 36%, up 2,600 basis points year-over-year. GAAP operating expenses were $145 million down from $382 million in 2023, which included goodwill impairment charges of $167 million. Our balance sheet remains among the strongest in the industry with cash, cash equivalents restricted cash and short-term investments of $175 million at December 31. During the fourth quarter, we received approximately $24 million of net proceeds from our ATM. Our differentiated financial position reflects our prudent decision to proactively manage our balance sheet. Finally, a quick note on the rapidly evolving tariff environment. While there remains significant uncertainty over the path of tariffs, our supply chain is largely positioned outside of the country currently impacted by the recently enacted tariffs and we do not expect a material impact to our business at this time. Moving to guidance. For the first quarter, we expect to achieve revenue between $30 million and $32 million. I'll now turn the call back over to Angus to share our 2025 goals and closing remarks.
Angus Pacala: Thanks, Chen. I'm excited to share our three strategic priorities for 2025, which will be the most transformational year in Ouster history. First, we are laser focused on scaling our software attached business; second, we plan to transform our product portfolio; and third, we will continue to execute towards profitability. Starting with our software attached business. In 2025, we are focused on capturing more of the $19 billion smart infrastructure market opportunity and have a dedicated sales effort for this vertical. For Ouster Gemini, we are working directly with some of the world's leading global corporations, as well as a network of strategic partners and integrators to increase our penetration in security and logistics applications. We are expanding the use case of our Blue City solution from intersections and crosswalks to applications like tolling and highway traffic management. We are also working to secure partnerships for Blue City to increase our presence to the entirety of North America, which would nearly triple our current footprint. We see promise in our EMEA and APAC markets as well and we'll be implementing a similar sales strategy this year to expand our international software attach business. After strong growth in our software attached bookings in 2024, I expect further tailwinds in 2025 as our smart infrastructure customers embrace lidar's enhanced performance. I continue to expect margins from our software attach business to be accretive to our hardware only sales. Turning to our new product road map. Our work in 2024 has set the stage for the biggest year of innovation in Ouster's history. In 2025, we will transform the entire Ouster product portfolio, including all new hardware, powerful new capabilities embedded in firmware, new features in the Ouster SDK and increased software functionality in Ouster Gemini and Blue City. This week alone, we announced two product enhancements that expand our addressable market and make the development and usability of Ouster sensors and solutions easier than ever before. We introduced 3D Zone Monitoring, a major milestone on Ouster's Industrial Safety certification road map. For the first time, Ouster is embedding 3D Zone Monitoring directly into its sensor lineup. This new firmware feature allows our customers to detect objects within customized 3D Zones and trigger real-time alerts or actions without the need for additional software development. This feature is the result of significant demand from our material handling customers and will immediately expand our reach in the existing $1 billion industrial market for legacy 2D lidar and where 2D Zone Monitoring has near universal adoption. With 3D Zone Monitoring, we are enabling the next generation of industrial robotics. Second, we introduced a cloud-based portal for Ouster Gemini, enabling users to seamlessly and securely configure, manage and view all of their lidar deployments through a single unified interface. Additionally, customers can host data and review events and analytics directly in the portal. Gemini portal represents a paradigm shift in the usability and convenience of our software and has the potential to add new software revenue streams over time. Finally, our next-generation L4 and Chronos powered sensors will mark a step change in our product portfolio significantly improving the performance, reliability and security of the Ouster product family. Importantly, we estimate these innovations will more than double our current addressable market, particularly for automotive, industrial and robotics applications. Lastly, we will remain focused on progressing towards profitability through a combination of consistent revenue growth, strong gross margins and stringent control of operating expenses. For 2025, we are maintaining our long-term framework of 30% to 50% annual revenue growth, gross margin in the range of 35% to 40%, and operating expenses at or below third quarter 2023 levels. Our performance in 2024 is a testament to what sets Ouster apart as a lidar company, our people, customers and technology. The product developments in 2025 will result in the largest increase in our addressable market in our history. I'm confident that we are on the right path to reaching our profitability goals and maintaining our status as the largest latter company in the Western world. I want to thank our employees, partners and shareholders for their continued support. And with that, I'd like to open up the call for Q&A.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Andres Sheppard with Cantor Fitzgerald. Your line is open.
Andres Sheppard: Hey, guys. Good afternoon, and congratulations on the quarter.
Angus Pacala: Hey, thanks.
Andres Sheppard: So lots of great progress. Something that stood out to us in your prepared remarks, you talked about maybe the majority of the sensors in this past quarter being used for use cases like robotaxis and last mile delivery. I'm wondering, if you could maybe elaborate a bit further on that. What are you seeing in those markets as this robotaxi segment becomes more commercializable? And is it more for passenger vehicles, commercial vehicles, more delivery robots. Just wondering if you can maybe expand on that? Thank you.
Angus Pacala: Yeah. No, that's a great question, and thanks for highlighting. I mean this is one of those great tailwinds that's propelling our business into the future. We've had -- there's been a kind of a trough of disillusionment and robotaxis over the last couple of years. But with the resurgence and success of Waymo in San Francisco and now expanding to LA and elsewhere and a bunch of other kind of well performing stocks in the robust taxi sphere. There's just -- there's proof points that this is going to happen, and it's fueling our customer base. We still have a number of high-profile customers in the robotaxi space like Motional, like May Mobility, Torque Robotics, that now we see this as a positive piece of momentum for them, and it's positively affecting Ouster. And so I'm definitely bullish on the robotaxi opportunities for Ouster in the future. On the last mile delivery robotics, I mean, this is more -- this is a general trend around physical AI and I use that term because that's what Jensen Huang has been labeling this whole movement of kind of industrial and medium form factor intelligent machines. That are emerging as a critical new kind of innovation for AI, physical AI. And Ouster obviously, is powering the eyes of that revolution. And we're already seeing the benefits of that with increased kind of mind share and commercial opportunities for the customers that we have in that space today. So very positive tailwinds to those aspects of the business. Thanks for the question.
Operator: [Operator Instructions] Your next question comes from Tim Savageaux with Northland Capital Markets. Your line is open.
Timothy Savageaux: Hey, good afternoon. Want to go back to something you mentioned about master status as the largest lidar supplier in the Western world. And I wonder, it sort of begs the question to some degree, but I wonder what you are seeing out of your current and potential China-based suppliers and whether there are any kind of dynamics changing that and maybe a broader competitive update on what you're seeing in your target markets, especially in smart infrastructure and robotics? Thanks.
Angus Pacala: Sure. So I may be misinterpreting the question on supply chain. But if you're referring to Ouster supply chain for manufacturing your own products, we've taken kind of a strategic view there. We manufacture our products in Thailand with strong partners, benchmark electronics and Fabrinet. And we also still provide American made lidar by American certified lidars by -- with a production facility in the United States. So we think we've kind of strategically positioned ourselves and our supply chain to be a strong kind of western provider of this technology with a secure supply chain. And then on the competitive landscape, just stepping back, Ouster has been consistently positioned as the diversified lidar company. It's kind of one of our three strategic pillars: digital lidar, diversification and execution on core business initiatives. And Smart Infrastructure, I think we're leading the way. We were leading the way just on pure sensor sales and building sensors that were applicable to the $19 billion smart infrastructure market. traffic analytics, traffic control and analytics, security and logistics automation. And now we're leading the way with software attached business. Now there is a difference here because these markets are established markets. So there are legacy players and legacy technologies, whether it's a camera-centric technologies for security applications or inductive loop and radar technologies and now traffic camera technologies in the ITS sphere. So there are legacy competitors generating significant revenues in this space. And that -- I view that as a good thing because it's a proof point on the clear and concrete potential that Ouster is tapping into versus we're growing with this emerging market for autonomy and AI in our other markets, so there's a big pie to go after. And Ouster is bringing a significantly differentiated technology to the smart infrastructure markets. And so that's the key is when we're winning in a city like Chattanooga, it's because we're bringing superior performance, superior capability, more flexibility to a traffic operator, a DOT of a city and we're meeting the economics. We're competitive on price. And so it's a very compelling sale, whether you're a traffic operator or whether you are a physical security manager at a utility company. So I think we're well positioned there, and it's more about how we expand in those markets is first product readiness and second, market education and market outreach. And that's why we have these dedicated sales efforts to educate and do outbound commercial activity in the smart infrastructure sphere this year.
Timothy Savageaux: Okay. Thanks. And I may have misspoke there, but I was talking more about your Chinese competitors in the supply chain and whether you're seeing any change in the competitive environment from suppliers that are competing with you based out of China, I guess, versus the supply chain.
Angus Pacala: Yeah. So I think that the -- there's obviously public results posted now by HESAI and Robosense as another Chinese company that went public in the past year. And so there's more exposure to public investors for some of the competitive set in China. But the backdrop for Ouster is those -- we've been competing with the same set of companies for the last nine years. And so the competitive dynamic really hasn't changed there. In many ways, actually, Ouster has brought with REV7, a mature version of the digital lidar technology that we built our business on to market in the last two years and increased our competitiveness versus our other competitors. So I feel very good about where we stand in these markets. Where we have chosen to play and where we're able to play geopolitically, we have maintained and in some cases, grown significant market share over the last couple of years. And I don't see a significant shift in the competitive landscape in the foreseeable future.
Timothy Savageaux: Okay. Great. And last one for me. I think you talked about doubling the TAM this year. I think you were at $70 billion before. So expect an incremental $70 billion, I guess. And you talked about kind of breaking that down between segments. I assume auto might be a big piece of that, but any more color there would be great. Thanks.
Angus Pacala: Yeah. So thanks for that color. So in terms of the breakdown of the TAM, we've been consistent and still have the view that there's roughly an equal split between the four markets that we're going after, auto, industrial, smart infrastructure and robotics. And we have seen that play out in our revenue split in the last couple of years. In terms of TAM expansion, yes, so the products that we have under development, we see doubling the TAM opportunity for Ouster biggest expansion in our TAM in the company's history there's huge potential in continuing to develop digital liter technology and the software solutions that ride on top of that. And I really think we are just scratching the surface with today's set of products that we have in market, we really only have one product line, the OS sensor products. We've been talking about the DF products for a long time. We've been developing and investing in them for a long time, so that's obviously coming. But there are many other products that we are developing as our resources as a company have expanded over the years. So there's a lot to come here. And yes, we are going to have the biggest expansion in our addressable market in the company's history.
Timothy Savageaux: Okay. Thanks.
Operator: Your next question comes from Richard Shannon with Craig-Hallum. Your line is open.
Unidentified Participant: Hi. This is Tyler (ph) on for Richard Shannon. Thank you for taking my questions. Has your 3D zoning been gaining interest in the smart infra market as well? And have you seen any more engagement with the increase in manufacturing reshoring.
Angus Pacala: Yeah. Thanks for the question. So the 3D Zone Monitoring for those listening, we just released that this week. It's a firmware upgrade to all existing REV7 customers and future REV7 sales. And it enables the sensor for the first time to process on sensor without any external software at all or external compute and determine when there are people or objects in the surroundings around the sensor. It's a very similar feature to what has been shipped on every -- basically every 2D industrial lidar for the past 30 years. So it's a requirement to serve that 2D industrial lidar with a new 3D lidar like we produce. This has been a long-standing requirement. So really excited and bullish on this in the industrial space, that's where it's targeted. We already have a lot of beta customers very happy with that functionality. And I would say, it remains to be seen what other markets it becomes useful in. So not sure that it will be a key feature for the smart infrastructure vertical because we have even more sophisticated versions of perception that we sell in our Blue City and our Gemini software solutions, but it could be. And that's one of the benefits to Ouster. We have this platform of products that play across verticals. So when we build something valuable for one vertical. Occasionally, there's crossover value into another vertical. And we're happy to provide that value to those other customers as well. And then your second question on just any benefits we're getting from reshoring or onshoring of some of our manufacturing. I just want to highlight that we've always maintained an onshore manufacturing presence. Our Buy American Certification is not a new thing. It's something we've maintained for the last, I think, four years now. And we see an ongoing benefit of being a key western provider of lidar technology and really the largest provider of this technology in the West at this point with onshore manufacturing capability wanted to need it, so definitely driving a benefit from that, but it's not a new thing. It's something we've been investing in for years at this point.
Unidentified Participant: Okay. I meant more so on the manufacturing talks of other companies coming back here in semiconductor. But alongside of that, what kind of revenue streams could we expect, could you describe any that you would be getting from the Gemini portal, the additional ones?
Angus Pacala: Yeah. So yeah, I'm glad you're bringing this up. So this morning, we announced a Gemini portal yesterday morning, we announced Gemini portal, which is a cloud connection to the Gemini edge deployments that we have. So basically, the idea is, we have now about 700 deployments of Gemini and Blue City booked deployments of Gemini at this point. And in those cases, the customer is installing an Edge box and edge AI processor alongside our sensors at their facility. And we have a couple of customers now that have hundreds of sites that they're deploying across. And so management of those sites, health monitoring, diagnostics, configuration, upkeep support. That starts to become a challenge unless there's a centralized hub for accessing those sites and managing them and that's what Gemini portal is. It's that centralized cloud-based hub for aggregating. But it's not just about kind of the table stakes like maintaining a system that's already there. There's value that we are going to provide in the future through that portal. We mentioned a couple of things in the press release around our ability to collect event recordings, store them, allow the customer to review them, save them, share them, things like that, analytical layers, that we can build in to give you information about crowd flows in your facility over the course of the day. So there's a ton of value that we're going to be able to provide to our Gemini customers. We wanted to get them portal in a state that we can offer to all Gemini customers, all paying Gemini customers today. And I expect to have more to come on other revenue streams in the portal in the future.
Unidentified Participant: Awesome. Thank you. I’ll hop back in the queue.
Operator: The next question comes from Casey Ryan with WestPark Capital. Your line is open.
Casey Ryan: Good afternoon. Great quarter and great outlook. One thing that sort of might be helpful is to talk about the margin profile, the gross margin profile, I guess, by its vertical or if there's another way to look at it in combination between software and sensors, but I'm just curious how big the range is between, say, end markets, right, if there's a big GM delta between industrial and automotive and how you think about that sort of revenue or the margin contribution mix?
Angus Pacala: Yeah. And I'll step in, but I'll allow Chen to give some additional color here. But I mean, I think the first thing is just that we are running a margin-positive business on all four of our verticals, just in case there's something unsaid there. We really want to make sure that we have sustainable long-term verticals that we're playing in. And it's the reason why we don't name some verticals. Those four are specifically chosen because it's the business and the margin we see now and long term. We historically haven't broken out the margin. So I'm going to stop there in case China has anything else to cover. We're not ready to give that level of insight into our business because it does start to inform things like costs and ASPs by vertical, which there are competitive reasons maybe not to share. But I'll let Chen add any additional color.
Chen Geng: Yeah, Casey. I think the only thing that would be additive to Angus' comment is that we have mentioned that we expect software attached business to be accretive to our overall margin profile. So as that revenue stream becomes a larger portion of the consolidated business, we do expect a tailwind from that.
Casey Ryan: Right. Well, right. And so that's really where the question goes, right, is that if verticals where the software attach grows, the margin contribution grows, it sort of raises the question of your gross margin guidance, right, which could look kind of conservative coming out of this quarter, right? I know there were some onetime items. But in sort of a positive note, it looks like your business could be trending to a higher kind of target model. But I just wonder how you think about that if you're uncertain about what the mix is or if you just want to be conservative as we go to '25, but why you're sort of focused on I mean keeping with the 35% to 40% target range, I guess, for now.
Chen Geng: Yeah. No, I appreciate the comment. And I guess there's a difference between our goal and our commitment to our shareholders. And so absolutely, their goals with our software growth and ways we could beat our commitment, have upside in the business. We've mentioned that many times, whether it's in the automotive industry or with our software attached growth we're showing really strong bookings year-over-year growth of 60% in the smart infrastructure vertical with our software attached bookings. So there are things like that indicate there may be upside. But I want to pull it back and just ground us in what we're willing to commit to our shareholders is that long-term financial framework still. There's a lot of uncertainty, some of it out of our control in this day and agent. So 30% to 50% revenue growth, 35%, 40% margins is where we think we'll be or where we feel we can commit to being through the path of profitability.
Casey Ryan: Okay. All right. Well, fair enough. And then one, I guess, last thing, sort of take smart cities as an example. How competitive is price as a factor or is it really about the solution? And maybe the fact is, is that between the hardware and the software, your solution is superior and that kind of wins the day. But just tell me how intense the pricing is necessarily if people can do apples-to-apples and sort of a competitive bid situation. That would be helpful.
Angus Pacala: Yeah, absolutely. The pricing dynamics in smart infrastructure can be really different specifically and you mentioned traffic, the traffic industry. And it's because there's a lot of this technology requires a public tender. And so there's a pretty well-known kind of pricing requirements. And yes, there's just -- there's a lot of public information about pricing and traffic specifically. Now the takeaway from this all is pricing, you have to meet a price. You don't but you don't necessarily need to -- once you meet a price, there's a performance benefit and a requirement commonly that's coming with that public tender and a reason why they have that tender out. they need a technology that can see both vehicles and pedestrians or that can be reconfigured on a monthly cadence instead of being dug into the ground. So there are requirements on the product side that lidar is uniquely positioned to provide that push it over the edge and make sure that we're winning a lot of tenders based on that performance feature set while meeting a price that is required through the public tender.
Casey Ryan: Right. Okay. Good. That's sort of clarifying. So I appreciate that and thanks for the updates. It sounds like a very positive outlook for the year. So thank you.
Angus Pacala: Thanks for the questions.
Operator: The next question comes from Madison De Paola with Rosenblatt. Your line is open.
Madison de Paola: Hey, guys. I was just wondering, could you provide some more details on backlog?
Angus Pacala: Yeah. So I assume the question on the backlog, I think, is just a question on like prospects for growth in the future. And there, I would -- first, just highlight, we had a very strong year delivering on our overall long-term guidance of 30% to 50% growth. We did 33% year-over-year growth, $111 million in revenue unit volumes way up 17,300 units shipped last year. So we had a very strong year. And we -- our bookings support that continued outlook and commitment to 30% to 50% growth in 2025. And obviously, we're guiding up in Q1 this year. So we haven't given specific backlog numbers. I can say that the backlog supports the continued growth at the commitment level that we've outlined in our long-term model. And maybe I'll just say we have anecdotally like the customer set that we have started to announce with that we have started to show proof points in the market with their marketing is indicative of the continued growth and investment from a mature and sophisticated customer base. And I'm talking about customers like John Deere, who at CES announced publicly, working with Ouster lidars, had Ouster lighters on their tractors at their booths in their presentations or Google Maps announcing at the Paris Olympics last year. and showing Ouster lidars on the Google Maps vehicles on their new fleet. So really good evidence of the customers that are sophisticated historic a lot of our users by moving into a modern era of autonomy with 3D lidar powered by Ouster.
Madison de Paola: Okay. Great. Thank you so much.
Operator: The next question is a follow-up from Andres Sheppard with Cantor Fitzgerald. Your line is open.
Andres Sheppard: Sorry, I think I got cut off the first time. But thanks again for all the helpful context on our question there. Just a quick follow-up, maybe a question for Chen. You mentioned, I think you don't expect a material impact from tariffs. I'm curious, do you expect material impact to your customers or to your supply chain? If you could maybe expand on that? And then can you just remind us your capital needs, no debt, $175 million, what are any outstanding capital needs? Thank you.
Chen Geng: Sure. Thanks, Andres. On the tariff side, I think the best we can do is comment that the environment is rapidly evolving, and we are adjusting to that environment as quickly as we can. At this point, we don't see any disruptions to our supply chain, and we continue to work with our customers. But I think it is a little bit difficult to anticipate what may happen with that environment even in the next day, much less the next year. On the capital need side, we are continuing to be a fairly low capital needs business. We will continue to fund the development of our next-generation sensors and transform the product portfolio in 2025. And so the way that the company is currently capitalized the way that the company is currently supported from a personnel standpoint, we believe was pretty sufficient to still deliver a lot of growth ahead.
Andres Sheppard: Thank you. Super helpful and again congrats on the strong quarter. I’ll pass it on.
Operator: This concludes the question-and-answer session. I'll turn the call to Angus Pacala for closing remarks.
Angus Pacala: All right. Well, thank you all for joining the call. We look forward to speaking with you all again during the first quarter call in early May. Have a good day.
Operator: This concludes today's conference call. Thank you for joining. You may now disconnect.